Operator: Good morning, ladies and gentlemen, and thank you for joining us for Acacia Research Third Quarter 2024 Earnings Conference Call. My name is Jenny, and I'll be your conference facilitator today. I would like to remind you that this conference is being recorded today and is also available through audio webcast on Acacia's website. Questions can also be directed to Acacia at ir@acaciares.com, which is a-c-a-c-i-a-r-e-s.com. I would now like to turn the conference over to Mr. Brent Anderson of Gagnier Communications. Mr. Anderson, you may begin the conference.
Brent Anderson: Thank you, operator. Leading today's call are MJ McNulty, Acacia's Chief Executive Officer; and Kirsten Hoover, Acacia's Interim Chief Financial Officer. Before MJ and Kirsten begin their prepared remarks, please be reminded that information provided during this call may contain forward-looking statements relating to current expectations, estimates, forecasts and projections about future events that are forward-looking as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally relate to the company's plans, objectives and expectations for future operations and are based on the current estimates and projections, future results or trends. Actual results may differ materially from those projected as a result of certain risks and uncertainties. For a discussion of such risks and uncertainties, please see the risk factors described in Acacia's annual report on Form 10-K and quarterly reports on Form 10-Q filed with the SEC. Acacia issued a press release disclosing its third quarter financial results earlier this morning. The press release may be accessed on the company's website under the Press Releases section of the Investor Relations tab at acaciaresearch.com. The company also posted its Q3 2024 Earnings presentation to its website, each of which can be found under the Events and Presentations tab. I would now like to turn the call over to Acacia's Chief Executive Officer, MJ McNulty.
Martin McNulty: Thanks, Brett, and thanks to everyone for joining us today for our third quarter Earnings Call. As many of you have heard me say, Acacia is a value-oriented acquirer and operator of businesses across the industrial, energy and technology sectors. Specifically, we're focused on acquiring and building companies that have stable cash flow generation, with an ability to scale while retaining the flexibility to make opportunistic acquisitions, with higher risk-adjusted return characteristics. With that in mind, I'd like to begin our call today by talking about our investment strategy and how [ Deflecto ], the newest addition to our stable of companies, fits our strategy to a team. After significant due diligence, negotiation and strategic planning, we signed and simultaneously closed on our purchase of Deflecto late last month. This transaction, like our acquisition of Benchmark almost a year ago, came about through adhering closely to our philosophy of building strong and like-minded relationships with business leaders. And importantly, finding opportunities to make our return owning a business, rather than through selling a business. I'd like to drill down a bit on that last point, because I think it's one of the key elements that differentiates us from others. We run several valuation models and metrics when we evaluate a business. One metric we rely heavily on is the durability and scalability of a target's annual earnings stream rather than its exit earnings, and the impact of these earnings on our income statement. Specifically, we underwrite to an acceptable range of unlevered and levered earnings yields, relative to the purchase price of the business and the related equity required to fund the acquisition. So why is this different? It's distinct from the "leverage buyout level, where the purchase price is heavily financed through a credit package, enabling small enhancements to earnings and potential valuation multiple expansion to generate returns. Both models work as private equity has shown. However, the private equity model -- in the private equity model, the gains are heavily back weighted and thus carry a higher discount rate and incremental leverage risk. Our model instead targets similar returns, without requiring an exit event for the business to generate those returns. So when we acquire a business at a "good multiple", it means we believe we're acquiring an attractive earnings stream relative to the price we paid to acquire that business, and we believe there's an inherent valuation benefit relative to where similarly situated assets might trade in the market. As I've mentioned in the past, we approach our acquisitions as long-term owners, though in our evaluation of capital allocation opportunities, we may from time to time, sell a business we own. I'd be remiss if I didn't also mention as part of our operating philosophy, that we endeavor through our strong network of operating partners to enhance the values of the businesses we acquire, driving both the ability to generate incremental earnings, potentially enhancing the company's valuation multiple. The Deflecto acquisition was our third acquisition in the last 12 months, with two in our energy vertical and one in our industrials vertical. These acquisitions have brought enhanced scale to our business, and we continue to evaluate new platforms, specifically for our technology vertical. Within each of our platforms, we believe there are several attractive organic and margin -- organic growth and margin opportunities, as well as the opportunity to be a strategic acquirer and consolidate within their respective industries. Simply put, we buy businesses and create platforms. We grow them organically and through M&A with a clear focus on free cash flow generation and defined expectations on return on invested capital. We then have the optionality to grow and reinvest free cash flow or look to monetize and build new platforms. You can see this in our recent acquisitions of Deflecto and Benchmark. Moving to Deflecto. Deflecto is a leading specialty manufacturer of essential products serving the commercial transportation, HVAC and office markets. This acquisition is a fantastic addition to our growing portfolio of strategic assets. Deflecto is a market leader across each of its segments and end markets, and the acquisition is aligned with our long-term strategy. The business fits within our target size range, sells diversified and in many cases, regulatorily-mandated products and has a strong capital allocation focus. We're thrilled to be partnering with the Deflecto team, and I'm excited by Deflecto's strong growth potential. I believe it has attractive near- and long-term value creation opportunities, through products and operational optimization as well as strategic M&A. As you'll see in our earnings supplement, we purchased 100% of Deflecto for $103.7 million. This included $48 million in debt financing and $55.7 million in equity from Acacia's balance sheet. We anticipate Deflecto to generate revenues in the range of $128 million to $136 million, and $17.5 million to $19.5 million of EBITDA for 2024. The company has moderate capital needs, a diversified customer and supplier base and has substantial market share in each one of its operating businesses. I'd very much like to acknowledge the tremendous amount of work our team has done this past year to successfully complete the two benchmark transactions and the acquisition of Deflecto. I'm extremely grateful and humbled to work with such a dedicated team. Turning now to earnings. In our ongoing effort to provide shareholders in the market with greater visibility into the financial strength of our core verticals, this quarter, we disclosed operated segment adjusted EBITDA as part of our filings. We believe these adjusted results are more representative of the underlying earnings power of the businesses and should help our investors normalize for certain factors, including noncash amortization expenses, mark-to-market accounting of Benchmark's hedge book and public securities, and certain nonrecurring corporate level expenses. The key takeaways for this quarter are that our operated segment adjusted EBITDA, which has yet to include our acquisition of Deflecto, continues to grow. IP, which we have mentioned in the past, is periodic and that we are managing our parent costs well, while we largely offset those costs with interest income generated on our cash balances. I'm pleased with the team's efforts to diligently manage our parent level costs, which have generally been consistent, although up a bit this quarter, because of increased accounting costs due to the growth in the company. It's a nice challenge to have. Kirsten will go into this in more detail, but briefly, our third quarter results reflect our unwavering focus on value creation through our technology, energy and industrial verticals. The company generated $23.3 million in consolidated revenue from the quarter, up 131% compared to the third quarter of last year, driven by the full quarter impact of the recent Benchmark acquisition, but off slightly compared to the $25.8 million generated in Q2 due to lower intellectual property revenue, which we mentioned earlier, it comes in periodically. The company also generated $1.7 million of adjusted EBITDA in the third quarter and $12.1 million in the 9 months ended September, driven by $6.9 million and $26.1 million in operated segment adjusted EBITDA and $9 million and $19.8 million in operated segment adjusted EBITDA, excluding IP operations to normalize the volatility. Parent costs for these -- for the 3 and 9 months ended September 30 were $5.2 million and $14 million, respectively, which are largely offset by -- which are largely offset by $4.6 million and $14.7 million of corporate interest income, respectively. Diving into the business verticals, our energy operations generated $15.8 million in revenues during the quarter, up 12% from $14.2 million in the second quarter, reflecting the benefit of the full quarter impact of Benchmark's April acquisition. As a reminder, our energy operations revenue number excludes the impact of realized hedge gains, which is included in other income. Our Industrials operation generated $7 million in revenues, up 11% from $6.3 million in the second quarter due to an increase in printer and consumable sales. Our intellectual property operations delivered $0.5 million in revenue during the third quarter, down $5.3 million in the prior -- from the prior quarter due to no paid-up licensing agreements executed this quarter. For the 3 and 9 months ended September 30, Acacia's Energy operations generated adjusted EBITDA of $8.4 million and $16.9 million. Our industrial operations generated $0.5 million and $2.9 million, and our intellectual property generated an EBITDA loss of $2.1 million and an EBITDA gain of $6.3 million. Book value per share remains a primary metric on which our team's compensation is based and aligns management's and shareholders' interests at this stage in our company life. Our book value per share on September 30 was $5.85 per share, compared to $5.95 per share at June 30. Excluding the impact of accruals and expenses of $14.9 million related to nonrecurring legacy legal matters, the company's book value per share at September 30 would have been $6 per share. I'll dive deeper into each of our verticals in just a moment. But before I do, I want to highlight one metric that illustrates Acacia's financial health and reinforces the strength of our business plan. Although we've completed three acquisitions in the last 12 months, we've successfully grown the company's current cash position to approximately $280 million compared to $242 million as of September 30, 2022, demonstrating the company's robust financial capacity. And we look forward to further cash growth as we incorporate Deflecto earnings into our business starting in the fourth quarter. Turning now to our energy vertical. As you know, in November of 2023, Acacia acquired a majority stake in Benchmark Energy, an independent oil and gas company that acquires, produces and develops oil and gas assets in Texas and Oklahoma. This past April, Benchmark acquired certain liquids-rich, predominantly oil-based, low-decline upstream assets and related facilities in the Western Anadarko Basin. Acacia now owns 73.5% of Benchmark Energy following its most recent acquisition. Our energy operations consist of over 150,000 net acres and over 500 operated wells producing approximately 6,000 barrels of oil equivalent per day, throughout the Texas Panhandle and Western Oklahoma. Benchmark is focused on acquiring predictable cash flow through shallow decline oil and gas properties with minimal capital intensity that can be enhanced through field optimizations and risk managed through robust commodity hedges and low leverage. During the third quarter, Benchmark's management team continued implementing operational improvements, including artificial lift optimization, active well maintenance and the reopening of previously closed wells to take advantage of the undermanaged assets we've acquired. As a result, our energy vertical delivered consolidated revenues of $15.8 million and adjusted EBITDA of $8.4 million in the third quarter, driven in part by our hedge book, which protects approximately 70% of our operated net oil and gas production over the next 3 years. I note that we have adjusted EBITDA for the impact of realized hedging gains, but they are not included in the quarter's top line revenue figure. For those of you wondering, we disclosed the realized versus unrealized component of our hedges to help investors better understand the cash impact our hedge book has on the enterprise. This information can be found in our regulatory filings. Turning now to our technology vertical. We wanted to take the opportunity to provide a little more color on our IP business. While it's becoming a less meaningful part of the business as we go through growth through acquisition, we continue to view it as an attractive set of assets. We operate our IP business through our wholly owned subsidiary, Acacia Research Group, LLC, and its wholly owned subsidiaries. We are a principal in the licensing and enforcement of patent portfolios with our operating subsidiaries maintaining the rights in the patent portfolios or purchasing them right. On a consolidated basis, we currently own or control the rights to multiple patent portfolios, including U.S. patents and certain foreign counterparts, which cover technologies used in a wide variety of industries. We generate revenues and related cash flow from the granting of IP rights for the use of patented technologies that our operating subsidiaries control or own. While we partner from time to time with inventors and patent owners ranging in size and including large corporations, we control and assume all responsibility in pursuing patent licensing and enforcement programs and for the related operating expenses. When applicable, we share licensing revenue net of the costs with our patent partners after we have achieved our agreed-upon minimum return threshold. We may also provide upfront capital to patent owners as an advance against future licensing revenue. Our current active patent portfolios include Atlas Technologies, which covers WiFi 6 standards essential patents; Unification Technologies, which covers flash memory technology; Monarch Networking Technologies, which covers IP networking; Stingray IP Solutions, which covers wireless networking; and R2 solutions, which covers Internet search, advertising and cloud computing technology. We're often asked to provide updates on these monetization efforts, including our litigation activities. However, as you can appreciate, we can only disclose publicly available information. For example, regarding TPLink, I can confirm that following the September 2023 judgment for $37.4 million against TPLink, their post-trial motions were denied and they filed an appeal with the Federal Circuit in October of this year. We anticipate briefings will be filed between now and February of next year with a decision anticipated in the second half of 2025. Interest on the $37 million judgment continues to accrue, at the monthly U.S. T-bill. With respect to our private negotiations and licensing campaigns, as you can appreciate, we're not able to disclose any information. As attractive opportunities become available, we remain open to opportunistically deploying additional capital into the IP business in the future, consistent with our mission to maximize value for shareholders. Our team are well-respected leaders in the IP space and intellectual property owners actively seek us out as a partner. Turning now to our Industrials business. We're pleased with the progress of Printronix as it transitions its business mix from lower-margin printer sales to higher-margin consumable products, including ink cartridges and specialty ribs. We believe this dual hardware and consumables model, combined with a streamlined operating structure represents a nice source of cash flow for Acacia. I'm also pleased with the turnaround work the Printronix team continues to undertake, including a key focus on top line initiatives and reducing G&A. And we expect Printronix to continue to generate free cash flow on an annual basis. Printronix generated $7 million in revenue during the quarter compared to $6.3 million in the prior quarter, and $8.3 million in the third quarter of last year. And briefly, while not a core vertical for us, I'd like to highlight that Acacia's remaining life sciences portfolio, net of noncontrolling interest represented $25.7 million in book value at September 30. Acacia holds interest in three private companies, including an approximate 26% interest in Biomet Pharmaceuticals, an approximately 18% interest in AMO Pharma, and an approximately 4% interest in NovoBiotics. We continue to actively and diligently seek opportunities to maximize the value for our life sciences assets for our shareholders. I'd now like to turn the call over to Kirsten to discuss our third quarter financial results.
Kirsten Hoover: Thank you, MJ. Our GAAP book value at September 30, 2024, was $578.6 million or $5.85 per share. Excluding the impact of $14.9 million related to nonrecurring legacy legal matters, the company's book value per share at September 30, 2024, would have been $6 per share. Total revenues were $23.3 million compared to $10.1 million in the same quarter last year. Our intellectual property business generated $0.5 million in licensing and other revenues during the quarter, compared to $1.8 million in the same quarter last year, due to no paid-up licensing agreements executed during the third quarter of 2024. Our industrial operations business generated $7 million in revenue during the quarter, compared to $8.3 million in the same quarter last year, due to a decrease in printer sales. Benchmark generated $15.8 million in revenue in the quarter as Acacia's initial investment in Benchmark closed on November 13, 2023, there is no comparable revenue in the same quarter of last year. General and administrative expenses were $11.1 million compared to $11.6 million in the same quarter of last year, with the decrease due to the decrease in parent legal fees, offset by an increase in G&A for the addition of our Energy segment. The company recorded an operating loss of $10.3 million, down 22%, compared to an operating loss of $13.2 million in the same quarter of last year due to higher revenues generated. Printronix contributed $0.1 million in operating loss which included $0.7 million of noncash depreciation and amortization expenses. Benchmark contributed $3.1 million in operating income, which included $4.3 million of noncash depreciation, depletion and amortization expenses, $0.3 million in onetime transaction costs and does not reflect $0.7 million of realized derivative gain. GAAP net loss attributable to Acacia Research Corporation in the third quarter was $14 million or $0.14 per share compared to GAAP net income attributable to Acacia of $1.6 million or $0.02 loss per share in the third quarter of last year. Diluted earnings per share adjusted the numerator used in basic earnings per share computation for the fair value adjustments on warrant and embedded derivative liabilities, resulting in a diluted net loss attributable to common stockholders for the 2023 period. The net loss for the third quarter of 2024 includes $4.1 million in unrealized losses related to the fair value of our remaining equity securities. The third quarter included $1.9 million in nonrecurring general and administrative charges. As of September 30, 2024, our NOL totaled approximately $14 million. We will continue to evaluate the most efficient ways to maximize this asset. Turning to the balance sheet. Cash, cash equivalents and equity securities at fair value totaled $374.2 million at September 30, 2024, compared to $403.2 million at December 31, 2023. The decrease in cash was primarily due to $60 million paid to acquire the Revolution assets, $12 million paid on the Benchmark revolving credit facility, and $7.3 million in repurchases of common stock, offset by cash provided by operating activities. Equity securities without readily determinable fair value totaled $5.8 million at September 30, 2024, unchanged from December 31, 2023. Investment securities representing equity method investments net of noncontrolling interest, totaled $19.9 million at September 30, 2024, unchanged from December 31, 2023. Acacia owns 64% of Malin J1, which results in a 26% ownership stake in Viomet Pharmaceuticals for Acacia. The parent company's total indebtedness was zero at September 30, 2024. On a consolidated basis, Acacia's total indebtedness was $70 million in nonrecourse debt at benchmark as of September 30, 2024. We continue to believe that cash per share is an important metric for measuring our progress. As of September 30, 2024, our cash per share stood at $3.64. For more information on Acacia's third quarter results, please refer to our press release that was issued this morning and our quarterly report on Form 10-Q, which we will file with the SEC later today. With that, I'd like to turn the call back over to MJ.
Martin McNulty: Thanks, Kirsten. Before taking questions, I'd like to highlight that following the Deflecto acquisition, the company's cash reserves were approximately $280 million for potential future acquisitions. We also repurchased approximately 3 million common shares for about $14 million at an average execution price of $4.65 as of November 7, 2024, through our previously announced stock repurchase program. This program is a key component of the company's overall long-term strategy to deploy excess cash and increase total shareholder returns over time. As a reminder, Acacia's $20 million Board-approved repurchase program allows us to repurchase up to 5.8 million shares of Acacia common stock. We intend to continue to opportunistically complete share repurchases in the open market during the fourth quarter of '24 and into '25. I'd also like to point out that we posted our Q3 '24 earnings presentation to our website. With that, Kirsten and I would be pleased to take any questions. Jenny, I'll hand it back to you.
Operator: [Operator Instructions] Your first question is coming from Anthony Stoss of Craig-Hallum.
Anthony Stoss: Really a two-part question. Love to hear more on Deflecto. Congratulations on the transaction. Love to hear kind of their margin profile, what your plans are for synergies? And then I had one other follow-up after that.
Martin McNulty: Yes. I think it's a great question. I mean, to start off, I think this is kind of an exemplary deal for us. Deflecto has got three business segments, as we mentioned, all of which are kind of niche, very strong market share in each one of their core end markets. We mentioned a lot of their products are regulatorily required, and they have really strong market share. And so as we think about the business, we think there's -- the company had been going through a cost rationalization exercise. We think they're probably 5 or 6 innings through that with a strong team that can continue further cost rationalization, facility rationalization and margin enhancement. Today, they're kind of doing EBITDA margins in the mid-teens. We think there's opportunity there, from continued scaling and cost rationalization, as I mentioned. We think there's opportunity from a product set standpoint. If you dig into their products, there's some product expansion and product adjacencies that are pretty logical for them that are in kind of in flight already inside the company. And then we do think with three different segments, different end markets and different products that there's an ability to continue to grow those through acquisition, which will enhance the scale and help to enhance utilization of existing capacity or capacity of the acquired company. And so, we think it's a pretty interesting acquisition that provides a lot of levers to continue to grow and enhance margins.
Anthony Stoss: Perfect. And then shifting gears to the Benchmark assets. You've got a couple of quarters under your belt now. When you look at both either revenues or adjusted EBITDA, is it living up to your expectations? And where do you think you could take it on the adjusted EBITDA side going forward?
Martin McNulty: Yes. I mean, as we mentioned in the past, we kind of underwrite -- this is operated oil and gas. So we're not really running drilling programs. And so we had the ability in oil and gas to look at the decline profile of each of the wells that we acquired, sensitize that decline profile and then put oil and gas liquids overlay pricing on that to determine what revenue looks like. I would say that, that is playing out the way we expected it to play out. We operate most of our production. Some of our production is operated by others, and we're a participant in those wells. We did see a little bit of a slowdown in some of the wells that we are participants in, but not the operator being completed. We think that's largely pushed forward as opposed to not an opportunity. So we do expect to see more revenue coming online from those. And the team is kind of in mid-innings of its operational enhancement of particularly the Revolution assets that we bought, where they're opening wells that were previously closed, and reworking wells that are not producing to optimization. And so I think the acquisition in total, to answer your question, Tony, is playing out exactly how we thought it would. We're very pleased with it. We still think there's a lot of opportunity there.
Operator: Your next question is coming from Brett Reiss of Janney Montgomery Scott.
Brett Reiss: Can you hear me, MJ and Ken?
Martin McNulty: Yes, pretty well.
Brett Reiss: Some questions also on Deflecto. In poking around the Internet, years ago, were their revenues much higher? And if I have that right, did they get out of some businesses? Or I just don't have the forensics on that right?
Martin McNulty: Yes. No, Brett, it's a great question. It's a very astute observation. The company that we bought is very different from the company that existed 5 years ago. It was really a mishmash of a lot of disconnected assets. It really was a family business, that then was acquired by a sponsor, and had grown into a lot of unattractive and unrelated business lines that didn't really have a Cogent focus. And so the existing sponsor and the team, the prior owner had really rationalized of the noncore product portfolio, and brought it down to this transportation safety, mud flaps and emergency warning triangles. Again, these things are kind of not the sexiest things in the world, but very attractive products, with very, very good market share and regulatorily required products into the HVAC space, and into the office end market. And so it was a larger business that has been pared back to the higher margin, highest margin product portfolio inside their suite of products. And then as we mentioned, cost rationalization alongside. So there has been a big transformation in the business, which is why I say we're kind of maybe 6 innings through that transformation, and we see a really clear path to finishing that transition and then continuing to grow the business organically and through acquisition.
Brett Reiss: Great. Great. So since they began the process of more concentrated focus, do you think you're going to stay in the three business segments or maybe choose one or two to really focus on, and maybe do something with the one that is tangential to the other 2? Or we're not far enough along on our analysis yet?
Martin McNulty: No, I think it's a good question, and we spent a lot of time talking about it. We like all 3 segments for different reasons. But we do like all 3 segments, and they have -- they each have very attractive characteristics associated with them. I think that the transportation business and the HVAC business have logical paths to be platforms in and of themselves to grow through acquisition. And so we -- as we've said in the past, we are looking to create platforms where we can. And I think we have definitely two there that we can grow into independent large businesses in and of themselves.
Brett Reiss: Okay. And this is very back of the envelope, but assuming the EBITDA is the midpoint, $18 million, and your cost of the secured loan and revolving credit facility is 7.5% to 8% because it's SOFR plus that spread. So your interest costs are going to be a little over $4 million. So the cash flow on our $50 million investment is upwards of 25%, 27%. Is that back of the envelope, what we own here? Because if so, that's very nice.
Martin McNulty: Yes. No, we -- look, this is -- this was kind of the point I was trying to make at the beginning of the call, Brett, which is we're targeting pretty nice returns, while we own the business. And so we put a very moderate amount of leverage. So there is some interest cost. That interest cost will in part offset the taxes. We will have some notional taxes. We do have some NOL left, but we don't really take our NOL into account and underwrite the return of an underlying business looks like. And so there is some tax against that, Brett, but we still think that the yield on both a levered and an unlevered basis, while we own the business is attractive. So we're getting paid to own this business as opposed to the leverage buyout model, where you're making a little bit to own the business, but you're really making your money on exiting the business. And so we really look to underwrite deals like this where we all collectively as shareholders are being paid a really nice return just to own the business.
Brett Reiss: Right, right. One last one because I've asked a lot of questions, and I don't want to hog the phone here. I did get a couple of comments from shareholders. We thought that the revenue flow from the IP business would have been a little higher this quarter. I know it's lumpy, but can you just talk to that a little bit?
Martin McNulty: Yes. I mean it is very difficult to determine on a quarter-by-quarter basis what the intellectual property business is going to deliver in revenue. We, as a management team, have the luxury of knowing what we own and what's going on under the covers with those portfolios. And we -- as we've said, we view this as a very attractive asset class. And the month-to-month, quarter-to-quarter revenue from that asset class, will vary. But ultimately, the portfolio, we believe, is very attractive from a monetizing cash flow perspective.
Brett Reiss: Good show on the Deflecto acquisition.
Operator: [Operator Instructions] Your next question is coming from Adam Eaglston of Formidable Asset Management.
Adam Eagleston: I just wanted to echo what Tony said, really nice work on the execution then in terms of what Brett said, nice ROIC, it seems like we're going to have on Deflecto. All great stuff. I'm thinking about more from a sentiment perspective. also like seeing the buyback turned on there. We've talked about that in the past. You've got $280 million in cash. And I think that the future term, MJ, maybe this wasn't the sexiest acquisition. But stocks right now are trading on narrative. You've got a stack of cash. You've got now a derivatives team in place. Have you considered any type of entry into the crypto space given the further we're seeing if you compare the NAV discount where you trade versus the ridiculous, in my opinion, premium at which some of these crypto shares trade. Have you thought about a slightly different approach to cash management versus treasuries?
Martin McNulty: I'm fascinated by crypto, Adam. I'm a little scared of the volatility of crypto. Have we evaluated using crypto as cash management, not seriously, to be honest with you, not that we've determined we wouldn't, but that we haven't spent a lot of time thinking about that as an alternative to cash management. Have we looked at things around the crypto space from an operating -- a business operating model perspective? We have. I think it's been a little academic on our side. I think that the new administration is very pro-crypto. So I think it warrants an evaluation. We historically have been much more conservative as we're inherently value investors. And so we have been cautious on our evaluation of crypto.
Adam Eagleston: Understood. No, that's fair. Again, value investors seem to be a dying breed and we're kind of one of them, too. In terms of being scared of the volatility, that's why bringing the derivatives piece and maybe you can harvest some of that volatility with your derivatives team there. So yes, that was my question for the day.
Martin McNulty: Okay. No, it's an interesting question. Maybe we can talk offline about it a little bit.
Operator: Well, we appear to have reached the end of our question-and-answer session. I will now turn the call back over to MJ for closing remarks.
Martin McNulty: I appreciate it, Jenny. Thanks for leading us in the conference today. Thank you for joining us, everyone. Hopefully, we gave a fulsome update on kind of the portfolio, the suite of assets that we have and a little bit more disclosure on how we think about the business and the operated segment adjusted EBITDA. So we look forward to talking to you next quarter, and we're continuing to put our heads down and execute against the plan that we put forward.
Operator: Thank you very much. This does conclude today's conference. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.